Operator: Good day ladies and gentlemen and welcome to the Q1 2016 DHT Holdings Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Eirik Uboe. Please go ahead, sir.
Eirik Uboe: Thank you. Before we get started with today’s call, I would like to make the following remarks. A replay of this conference call will be available at our website dhtankers.com through May 10, 2016. In addition, our earnings press release will be available on our website and on the SEC's EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events including DHT’s prospects, dividends, share repurchases, and debt repayment, the outlook for tanker market in general, daily charter hire rates and vessel utilization, forecast of world economic activity, oil prices and oil trading patterns, anticipated levels of new building and scrapping and projected dry-dock schedules. Actual results may differ materially from the expectations reflected in these forward-looking statements. We like you to read our periodic reports available on our website and on the SEC’s Edgar system including the risk factors in these reports for more information regarding risk factors that we face. I’m today joined by DHT's Co-CEOs Svein Moxnes Harfjeld and Trygve Munthe. And with that, I will turn the call over to Trygve.
Svein Moxnes Harfjeld: Thank you Eric. Good morning and good afternoon and thank you for joining the DHT first quarter 2016 earnings call. We will during the call go through our operational highlights, financial highlights, capital allocation, fixed income and cash breakeven, as well as some tanker market and equity market thoughts. First on to the first (inaudible) and then on to other highlights; we took delivery of two of VLCC new buildings, the second and third in a series of six ships. The DHT Leopard was delivered in January and the DHT Lion hit the water in March. Following the sale of our Suezmax, DHT trade in December, we had agreed to sell the 2001 built Suezmax, DHT Target for 22.5 million. The price is in line with current comparable transactions. We expect to deliver her to her new owners later this month. In other (inaudible) efforts we used these rewarding times to further strengthen our balance sheet, we prepaid 46.9 million of bank debts, and Q1 of the first quarter for our securities repurchase program during which we employed 5 million. And then on to our spot earnings; 2016 is off to a great start with our spot earnings for the first quarter coming in at $62,600 per day. First quarter earnings over the past five quarters have been remarkably steady at about $60,000 a day. Our spot earnings represent an excellent performance and compares favorably with the competition. The combination of our high quality fleets of ships and great efforts by our commercial team serves us well. Following a great first quarter, we had to-date looked 71% of our stock base for the second quarter at $59,000 per day. As such about 43% of our spot calendar year is open for at $60,000 a day. And these we think are handsome numbers. We will now go through the income statements. With TC revenues at 90 million, normalized EBITDA at some 70 million and net income excluding impairment of 40 million, it was a solid quarter. EPS was $0.34. This however, includes the impairment of the assets held for sale equaling $0.09 per share. As such the normalized EPS was $0.43. When determining the dividend for the quarter, we have considered a normalized EPS i.e. adjusted for impairments and will as such pay a cash dividend of $0.25 per share on May 25 to shareholders of record as on May 16. And then over to Trygve.
Trygve Munthe: Thank you Svein. We’ll take you through the balance sheet. At this point our balance sheet is pretty straight forward. It should be noted that of the cash balance of $77.5 million, 9.7 million is earmarked for the last and final pre-delivery installment to Hyundai Heavy Industries. This installment was by the way paid in the month of April. As far as leverage you will note that interest bearing debt-to-total assets stands at 46%. If you adjust for the sale of the DHT target and the delivery of the three remaining new buildings that figure moves to 50.1% pro forma. Next we would like to point out the main cash flow items for the quarter. We generated 58.9 million of cash in the quarter. During the quarter we paid two additional pre-delivery installments to Hyundai totaling 18.5 million. Ordinary debt-to-amortization amounted to 6.9 million for the quarter, dividends for the fourth quarter of last year was paid in the first quarter of this year with 19.7 million, and as previously communicated, we continued our deleveraging campaign in the quarter, a total of 46.9 million was voluntarily prepaid to banks. And during the quarter, we repurchased $3 million worth of convertible bonds and 2 million worth of common stock. If we expand the horizon a little bit, you will see that during 2015, paid 49 million in dividends, 33 million in ordinary debt repayments and 58 million in voluntary debt prepayments. Since we started with the deleveraging campaign in the second quarter of last year, we have prepaid a total of 105 million of mortgage debt, and the interest bearing debt currently stands at about 654 million to the prepayment equates to some 16% of that amount. Over the same period, we have paid 64 million in dividends and spent 5 million under our securities repurchase program. You will recognize that this balanced approach between strengthening balance sheet and returning capital to shareholders is in line with our core strategy of managing the cycle.
Svein Moxnes Harfjeld: Thank you Trygve. Then on to fixed income, you will see that for 2016 we had some 38% overall capacity fixed at just north of $100 million. Earnings in our term (inaudible) have increased as we extended time charter contracts at higher rates. Our VLCC time charter book now stands at an average rate of $44,800 a day, a number being higher than the 20 year average spot market. It is worth noting that the liquidity in our timer charter market is thin. We are continuing our endeavors to build additional fixed income, but want to see rates in reasonable territories. Then on to cash breakeven, as you have heard us say many times, cash breakeven gets a keen focus from us. On the following two slides, we will illustrate our current breakeven levels and cash generation potential. The left side bar represents the expected cash cost for the year. This includes all cash costs. OpEx, debt service, G&A and maintenance CapEx. We have left the market related debt repayment component in the RBS loan after the calculation, as it is not relevant at break levels around the cash breakeven. The cash cost for 2016 combined is estimated to be 163 million. In order to generate revenue equally in this cash cost, we need our VLCC to earn $22,800 a day and our Aframax is $11,200 a day. We do as mentioned, however have [38%] in capacity fixed out and generating [103] million in revenue. Adjusting for this our spot VLCC only need to earn some $13,700 a day for the company to be cash neutral, a level we consider to be very comfortable. The far right black bar illustrates the cash generating capacity of the company in three different scenarios. At $60,000 a day estimated to that of last year, at $42,500 a day, equaling the 20 year historic average, and $30,000 dollars a day by some considered a modest market. As you can see, if 2016 comes in at 2015 levels, we should generate more than 300 million in cash. If level gets in at a 20 year historic average, we should generated over 125 million, and at $30,000 a day market, we should generate some 70 million in cash. Keep in mind that we have fixed about 43% of our spot capacity for 2016 at rates of more than $60,000 a day. On the next slide, we have applied the same thinking to 2017. Estimated cash cost is 176 million. When considering the fixed income we have for spot VLCC requires $20,700 a day. With the same scenarios as in the previous slide, we should generate 264 million in a $60,000 a day market, 144 million with a 20 on historical average, and 65 million in a $30,000 a day scenario. We think these robust cash breakeven levels bodes for DHT. And back to Trygve.
Trygve Munthe: Before we open up for questions, we would like to take you through the four slides shedding some light on the short term stock market volatility, share prices, quarterly spot earnings achieved and finally earnings per share. As we all know, the spot market for VLCC is both seasonal and short term volatile. Over the past five quarters, we have seen highs of over $100,000 per day and lows of about 20,000 a day. And partly thanks to Tanker International, Green Arrows, Red Arrows app, everybody now has real-time information on the VLCC spot markets, and seemingly trade tanker equities accordingly. This slide here shows a pretty strong correlation between daily spot market movements and the DHT share price. However, the volatility of the share price is not narrated by the actual quarterly spot earnings achieved. These earnings have been remarkably steady over the past five quarters, yet the share price has been trading in a wide range with highs above $9 and lows of about $5. We’re not sure what to make of this, but the short term focus or edginess of the investor community seems to be prevalent. And just to round it off, we’ll show the share price development versus earnings per share. It puzzling to see share price and earnings moving in such opposite directions now for three quarters in a row. And with that little brief out of the way, we’re ready to provide our answers to your questions. Operator back to you.
Operator: [Operator Instructions] We will take our first question today from Spiro Dounis from UBS. Please go ahead.
Spiro Dounis: Just wanted to maybe start off with the dividend and it kind of relates to that last point you made triggers are on seasonality, and 2Q ’16 might be the first quarter we see a decline in the dividend since you announced a 60% policy, maybe like I said just because the seasonality in rates are sort of coming in a bit. So I’m just wondering if this might be a quarter where you sort of flex that 60% higher just to maintain the level of stability in the dividend or do you think you’ll even be reward for it.
Trygve Munthe: I think it’s premature to discuss what we’re going to pay for the second quarter. So I think we should leave it with the guidance that we have of minimum 60%, and it’s really up to the Board to have the final word on what’s actually going to be paid.
Spiro Dounis: So the second question just on the S&P market, I guess for most of 2015 we heard that there is a wide bit of spread between buyers and sellers and that obviously was sort of keeping prices scaled to some degree and lately we’ve seen you on the selling side, some others recently on the buying side, and I’m just wondering, is that your view that that widespread is sort of coming now and has your market now found a clearing price for vessels.
Svein Moxnes Harfjeld: I guess every time you have a transaction the spread has come in, so to say. But there is some price movement if you like from the last of Suezmax sale that we did in December and to what is the market today. There’s still little activity, I think it’s fair to say on the Aframax route there are fairly wide number of ships available to buy, and these ships are also owned in a very fragmented structure. So there’s also some potential sellers. But it seems that the private community that has the (inaudible) proceed and also typically our (inaudible) seems now to be willing to more than focus on very low asset prices on dry cargo and kind of disregard to earnings as to Trygve’s point earlier and buy ships and tanker there where earnings are. Thinking over these three approach, the ships in general are owned on stronger hands and the people are not so keen to sell unless they get meaningful knowledge, and still although the second quarter has come off the height of the winter the earnings are still really handsome and especially considering some of the guys with all the ships and hardly any depth, they still make a good capital. So, we don’t expect a big flurry of transactions frankly as in general the industry seems to be this working capital.
Spiro Dounis: And then just maybe sort of following up on that, and I realize you are not sort of growing the fleet necessarily beyond the three deliveries you’ve got coming. But if you were to give out and decide you want to grow the fleet again here today, just wondering is it obviously new build prices are really attractive, is it a new build or you think would you buy something coming out of the yard or would you take a look at maybe a five year old vessel.
Trygve Munthe: I think we could say for once, we would not contract renew additional ships at this point. But resales of more than second hand could be done of course.
Operator: Our next question comes today comes from Fotis Giannakoulis from Morgan Stanley. Please go ahead.
Fotis Giannakoulis: I think Trygve, you mentioned that the chartering market is pretty thin and you are not willing to charter your vessels below a certain level. Can you please become a little bit more specific and try to give your explanation why there are so few period charters.
Svein Moxnes Harfjeld: Fotis, this is Svein, you know liquidity in general has been rather thin and there were some flurry of fixtures done towards the end of the first quarter, mostly by traders and one large oil company that’s tend to act maybe more like a trader. But most of those deals failed for whatever reason, and only those done on the fly with an expectation, a (inaudible) was not, it’s hard to say. But our largest customers are oil companies that tend to have of course another requirement covered by time charters, and we have as you know several ships on to them. These charters might not be very long charters, they could be one, two, three, yes, but we have the seven year charter. It depends who’re going to own them and be extended because they want a continuation of the services that we provide. But today, I think you see very little active types, even though if you were willing to adjust your numbers. I think you see it (inaudible). I think it reflects that this might the freight; it’s not really expensive either, because from $1.5 to $3 a barrel, many refiners and users are probably quite comfortable with having some stoppage point as well. And so [DHT] market is at last really a spot market, although DHT as company has managed for this year to have close to 40% of fixed income and providing good visibility on earnings.
Fotis Giannakoulis: Can you clarify, is there a level that you would be willing to charter or it is just a matter of availability that there are no charters that they are long enough to worth taking the commitment.
Svein Moxnes Harfjeld: Agreed, and we’re not negotiating on this earnings call.
Fotis Giannakoulis: I want to ask you, if you have seen any changes in the trade in the last few weeks. Obviously the chartering market has stopped in the last couple of weeks. But how much of this softening is just a regular volatility that we often see in this market and even in a highly profitable rate environment we have seen this type of dip before. And how much is it related to the increase in oil prices and in general, how do you think that this increase in oil prices from a previous quarter has affected the trade.
Trygve Munthe: We tried to shed some light on in the presentation. We think that this is the nature of the market that we’re in. It is short term volatile and it’s pretty big strength and of course recently we have seen spot rate is off. Now there is some signs that its coming back and as Svein said, quarter-to-date we have covered some 71% at rates pretty much in line with what we did in the previous quarter. So we just think this is the nature of the tanker market that it has big strength in the short term, but on a quarterly basis in tend to average out in a much more stable fashion.
Fotis Giannakoulis: We saws last week the charter fixtures, the charter increasing especially in the Middle East was a pretty good week in there for a number of fixtures, but on the other hand the rates went on the opposite direction. So you are saying that this is just a lagging effect and the impact of earlier weakness in chartering activity in April. And how do you view this week in the chartering activity both in the Middle East and in West Africa. Have you seen any changes and any changes in the flow primarily?
Svein Moxnes Harfjeld: This is despite the efforts of the TIF in trying to create transparency. There’s still 10 number of fixtures or cargos that are under the surface. Keep in mind some of the big end users they have a term charter book of ships that they schedule in their own programs, you don’t get to see those unofficially, sometimes their own ships can’t match their own cargo and there is a relapse and so forth. So I think overall when you look back at the number of cargos moving out of the Middle East it’s also very steady, but fixtures reported in the market might dry a bit because ships are done by owned fleets from time to time or under contracts. So we don’t really see any bigger changes in the volume, but I think it’s fair to say that the volume of cargo so far this year is not really dramatically changed on the demand side from last year, but last year of course you had a lot of supply moving in to storage and this might be easily operated this year. We are more shipping to meet demand than for just also build inventory.
Fotis Giannakoulis: One last question I remember last time that you were in New York, you were talking about something like 1.5 year or two years or more tankers cycle. Can you give us your outlook and your view at which point of the cycle we are and how the company is adjusted its investment strategy and its capital allocation strategy to this outlook. And to that, I saw you sold one of your oldest vessel, you still have three more vessels built in 2001 and one in ’99. Are these vessels for sale as well?
Trygve Munthe: I think your first part of the question for this, we like most of all the people recognize that there is an acceleration in the delegation of new builds towards the end of the quarter or end of the year, and we wouldn’t be surprise if the fleet size grows somewhat faster than the demand for transportation does towards the end of the year. So everything else being equal that suggest that you should have somewhat softer freight market at that point of time where we have enjoyed so far year-to-date. But I think the key areas to keep things in perspective, we have been enjoying very healthy rates, and as a matter of fact if you analyze our quarterly earnings per share, we are trading at 3 to 3.4 times earnings. So there is definitely tolerance for somewhat weaker earnings towards the end of the year, without having a massive sell-off in shares I would like to believe.
Fotis Giannakoulis: In relation to the older ships?
Trygve Munthe: In interest of all the ships, the target was the loan of Suezmax in our fleet deck with older Trader at the very end of the fourth quarter. It was in that context rationale to do go with it, but doesn’t mean that way they have to keep on selling all the units at this point.
Svein Moxnes Harfjeld: And keep in mind some of our older units are also debt free, and even if they are $30,000 a day spot market, the cash flow is over $20,000 a day on these ships. Our oldest lady built in ’99, she is on the time charter at $45,000 a day and well in to next year. So we don’t see any reasons for kind of exiting those assets at this point.
Operator: Your next question comes from the line of Herman Hildan from Clarksons Platou. Please go ahead.
Herman Hildan: My first is in an historical context unique as we’ve discussed before to have stronger rate and lower asset prices. What I’m wondering is, as we’ve gone through today, you’ve been quite aggressive deleveraging your balance sheet and making sure that you’re in good shape even with lower rate. The question is, at what stage, what would be required for you to materially change your strategy or will you just stick to your current strategy regardless of what’s happened with the market and your share [cancellation].
Svein Moxnes Harfjeld: Let me understand your question in changing your strategy, I think we had tried to communicate to the market that we do different things at different times in the cycle, and I think to date our track record suggest that we have done different things at different times in the cycle. So there’s no really change in this, this is we think is a well-defined strategy and we intend to take (inaudible), of course the most challenging aspect of course is to know when to buy, when to sell, and these things. And right now, I think the issue is just maximizing its portfolio. It’s earning is much longer as it can, its continuing to take my balance sheet. At some point, there will be growth opportunities again, but we don’t think they are imminent.
Herman Hildan: I was more about the opening up for the hostility of being more aggressive on the buyback rather than paying dividend.
Svein Moxnes Harfjeld: We have a buyback program or a securities repurchasing program, and we will update the market on a quarterly basis on how we get on with that. So we have certain things we want to do and there will be a mix of these things on a continued basis.
Herman Hildan: And finally, when the Aframax time charter expire in 2017 is the kind of long term aim to come at your VLCC Company or are you still pragmatic in terms of different segments of the [tanker] markets.
Svein Moxnes Harfjeld: It’s more than that Herman. We have said all along that we think ourselves as large crew Carrier Company. We have had presence in first (inaudible) and a bit of phase we ended up with a rent the majority of money invested in VLCC. We’re nothing against Suezmax and neither with Afarmax. So there’s no strategic choice of becoming a pure VLCC player it’s not.
Operator: Our next question comes from Mark Tuarez from [McCullum Holdings]. Please go ahead.
Unidentified Analyst: I just want to go back to a comment you said about not only the relatively of TC, but how thin it is in terms of fixtures, and I’m wondering if that market were to come around, do you guys have a potential target in mind in terms of (inaudible) of TC, do you work from employment mix perspective, as you move through the market and of course we expect to see net growth sort of accelerating in the latter half of this year. Do you have sort of a target in terms of number of vessels within the VLCC fleet if you will that if you are willing to go in to TC?
Trygve Munthe: No, we don’t have a specific target on it. But with that said, we would happy to add some to the 2017 time charter book. As you saw from the presentation, it has meaningfully left time charter coverage for ’17 and for ’16. But we do recognize as we said earlier that the large tanker market is first and foremost the spot market that if you decide it’s really to fit everything else in time charter than you should probably be in a different segment of the shipping market. And number two, I think overtime as spot market tends to return on average than what time charter does. But of course our time spend in the market is totally falling to pieces and then the time charter coverage is meaningful. So we run DHT in a way to make sure we can survive the unforeseen negative, yet we are not afraid of having any participation on the outside by keeping a good chunk and if not the majority of the fleet in the spot market.
Unidentified Analyst: And then an integral part in your comments on asset value, we have seen second hand asset value especially five year old actually accelerate since last year. In your view prices have actually come down and I know you mentioned that you’re willing to explore both opportunities as well beyond your new building program. But I’m wondering if you’ve seen renewed interest in rebuild refill market, if you’ve seen attractive opportunities and if you can compare that to any second hand opportunity you have seen so far this quarter.
Trygve Munthe: I think firstly you should make a distinction between a new building contract and a resale. A new building contract is typically a ship that gets delivered say two years out, a resale is a ship that’s coming straight off the (inaudible) but it’s on delivery, and the pricing will somewhat be reflective of what current market will give you, and of course what expectations are. We think that resale today; you see a big ask probably between very high 80s and the low 90s for prompt delivery. If you go to Korea today, you probably can break 90 on the 18 deliveries; say very high 80s, 88, 89 although nothing has been done. So you’ve seen some activity at some of the left shipyards in China being able to go much lower price with maybe smaller levels of installments, so it’s more like an option. But five year old, we haven’t seen really any deal since they’ve already bought the five ships that they did over the second half of last year. So I think the best we have today is broker estimate.
Operator: Our next question comes from Nova Parquette from JPMorgan. Please go ahead.
Nova Parquette: I just want to ask about vessel operating (inaudible) little this quarter especially doing big delivery of two ships. Are there any particular one-time fees when you take delivery of ships or higher cost and can you just guide us on a going forward basis what the OpEx would be.
Svein Moxnes Harfjeld: I think OpEx for the quarter was very good. There are some details in to that, some ships were on long [voyages] and you get periodical changes when you provide supplies to those ships. That’s for the new build, so the supervision cost for looking after the construction [sales] up to delivery, we capitalize those, but then the OpEx that we get of new builds are much lower than the average remaining fleet that we have because in the beginning there are not really so much maintenance to be done. So the OpEx at the beginning is very, very good, and this is kind of [difficult] to say for the six new ships that we have. We have superior fuel economy and so they are topline, it’s meaningfully higher than the average general VLCC fleet and their OpEx meaningfully lower than the general average VLCC fleet. So the company and the shareholders really stand to benefit from much better earnings of these modern units.
Nova Parquette: And just moving out of the market, every time we seem to see a spike in the VLCC rate we also see port congestion in China. Can you talk a little bit about what do you think the cause of that is the root cause, how structural it is, and how we can think about that going forward?
Trygve Munthe: I think imports to China as we all know has been increasing over many, many years. But it could well be that infrastructure investments have kind of been lagging in ports you go in and then you create bottlenecks. What has been a more recent phenomenon has been certain ports where some of the key ports refineries bringing in their oil and not really rigged off with sufficient floor based storage and require distribution more directly in to these refineries, and that is creating delays. So I think ports in general in China are really doing need more investments to be able to cater to the continued increase in the imports in oil. And now with also domestic production in China inkling down, in order to maintain the minimum refining turnarounds of production in China, their imports will still increase. So it doesn’t seem that delays in the ports in China is a phenomenon that will end anytime soon.
Nova Parquette: And lastly I just want to ask have you seen the [container] brand come down significantly to almost flat? How much (inaudible) is out there and is there a chance we see some of that sold off in other (inaudible).
Svein Moxnes Harfjeld: Could you repeat that Nova?
Nova Parquette: Yeah I just was asking the (inaudible) has come down so much. I mean how much floating storage do you estimate is out there and do you see that as rest of things sold and those ships coming back to trading.
Svein Moxnes Harfjeld: For the VLCCs we don’t frankly see much floating storage in the way that ships have loaded and dropped anchor and waiting to deliver the cargo at a later point. There is certainly a congestion in certain ports in China and to some extent in a lot of port in Iraq, but that’s not sort of commercial storage, that’s just tightness in the supply chain. So we don’t really see a big overhang from the large ships for the (inaudible).
Operator: [Operator Instructions] And now we take our next question comes from Amit Mehrotra from Deutsche Bank. Please go ahead.
Amit Mehrotra: I had a question the demand part of the equation, 1.2 barrels per day is sort of what everyone is talking about from a demand growth standpoint this year. But just wondering if you could offer some thoughts on how that overall demand growth will translate to the born demand, and then actually more importantly sort of how that barrels were divided up between the different vessel [faster] so we can get a sense of how perspective supply growth may be absorbed. I don’t know if you thought about that or perhaps review, can you share with us?
Trygve Munthe: Quite frankly, we think that oil demand is of course important for the whole equation. But we think actually for the last year or more that the key has really been oil production, because we have been transporting not only for consumption but also for storage. So I think it’s more important to look at how the global oil production is going to develop in ’16 compared to ’15. And on that, sort of on the aggregate basis, it’s not much increased to speak of, but there are some important shifts so that first and foremost North America is coming down and then Iran and certain other players are coming up. So the net-net may not be very significant, but the change in the composition of the total is important, because when the US produces less domestically and they keep inventories at the same, then of course they need to import more. But then Iran and others are there to make up the short fall of non-OPEC. So we think that rotation is positive for tanker demand and it’s more important on whether the total global oil consumption is going to go off by 1.2 or 1.1 or 1.3. And then to your part of your question on what asset classes, we think we’ve said many times that these are first and foremost long-haul ships. So the majority of the crude coming in to the United States would be on large ships, and the majority of crude going in to the growing regions in the Far East is also on large ships. So we think the buyers are in the large ships favor.
Amit Mehrotra: But last year if you look at total seaboard demand of last year, 50% were put on these, 30% Aframaxes, 20% Suezmax, do you think that sort of proportion will hold or do you think it will skew more towards the (inaudible) here in terms of the incremental demand.
Trygve Munthe: I think its more transport economics that decide what cargo will go on what ship. In order for Suezmax to pick up the cargo say from the Atlantic to China, it needs to be in a much lower market relatively speaking to the VLCC to compare not to compete on the per barrel cost status. If I’m not wrong the historic numbers are such that Suezmax [severance] on 80%-83% of VLCC and Aframax is some 60% of VLCC. So if you debit largely from that relative number, then you will always have a substitution effect both up and down between the different asset classes. So they’ve got a trend that tends to last for long, right if that traders or end users look to maybe take opportunity to use that bigger or smaller ship occasionally, but overtime they tend to be daily representative. So also there’s a bit of a (inaudible) know to have say two, three, four small ships as opposed to one big ship. So there’s some nuisance in that as well. They just want simple, straight forward, reliable logistics that gives them the best economics.
Amit Mehrotra: One follow-up from me and this is just again on the demand side. How do you think about in your record stockpile of where we are all around the world, maybe even ex-China all around the world, how does that play in to your assessment of the market over the next 12 months or so. Just piggy backing on those questions a little bit on the (inaudible) or even sometimes back gradation. Can that accelerate sort of dry-down of inventory and whether you just think about as a risk or do you think that’s sort of not going to happen over the next 12 months, and if you could give us a review there.
Trygve Munthe: We think it’s difficult to pinpoint when it’s going to happen, but when you think that after such a long period of stock build that we’ve been through, there will be a point when there’s going to be a stock draw and as we’ve said all along, when that happens, we think it’s a soft (inaudible) in your pocket for the tanker market. It’s not sort of crossing major shifts in the overall cycle. If that makes sense?
Amit Mehrotra: Yes, that makes sense. And then just one last one on asset values from me, we’ve seen obviously some moderation year-to-date, but there seems to be given the price decline somewhat better in the market, I would say anecdotally at least. So it looks like maybe the big offer spread is tightening and maybe that brings more buyer to bidders in to the market which actually could drive asset value to recover a little bit. Is that your view? Do you think we’ve seen reached the bottom in terms of (inaudible) on an asset value year-to-date or maybe what’s your perspective outlook over the six and 12 months?
Svein Moxnes Harfjeld: I think it’s hard to say exactly, but as you right pointed out, you’ve seen transaction clear, right and of course that means such is a big ask of (inaudible). So when we sold our Suezmax (inaudible) there were a handful of interest of pockets, but the price expectation were on the wrong kind of metric than what we wanted. But I think people are trying, their earnings are still healthy and especially in the lower end people are looking at the delta probably between the 15 year old and scrap value. I think if you remember back 2.5 years, you had 16 year old of these selling at their mid-20s and scrap was at 18, 19 even 20. So the perceived capital at risk was kind of low. Today now that I think a 15 year old [V] market is probably in the mid-high 30s, but scrap value is a bit down so you’ve seen some of those kind of buyers that knew on (inaudible) from two, three years ago they are not really looking at these [vessels], they think that the vessel may be too big that’s why some of these deals are not clearing, I would think so.
Trygve Munthe: I think it’s important to keep in mind that what we’ve witnessed in this cycle is unprecedented. That you have such a strong freight market both spot and time charter and you have vessel values not moving in tandem at all. And normally it would be the freight market as leading the way, so spot market goes and it takes off, time charter market is coming after and then asset values follow. What we’ve witnessed over the past several months is that, asset values are coming down, while the freight market is staying up and at very healthy level. So I don’t think it’s any sort of leading indicator. I think it’s just more a reflection of the fact that there are quite a few if not de-stressed at least stressed sellers out there and they are frankly aren’t any just any buyers because of the capital constraints that our industry is going through.
Amit Mehrotra: I guess it just makes the ROA look that much better on the mark-to-market basis, so maybe a silver lining to it all.
Operator: There are no further questions in the queue.
Svein Moxnes Harfjeld: Thank you very much to all for attending our earnings call, and we look forward to a continuous support of DHT. Have a good day.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. You may now disconnect.